Operator: Good morning, everyone, and welcome to Coca Cola FEMSA's Fourth Quarter and Full Year 2015 conference call. As a reminder, today's conference is being recorded and all participants are in a listen-only mode. At the request of the Company, we will open the conference up for questions and answers after the presentation. During this conference call, management may discuss certain forward-looking statements concerning Coca Cola FEMSA's future performance and should be considered as good faith estimates made by the Company. These forward-looking statements reflect management's expectations and are based on currently available data. Actual results are subject to future events and uncertainties which can materially impact the Company's actual performance. At this time, I will now turn the conference over to Mr. Hector Treviño, Coca Cola FEMSA's Chief Financial Officer. Please go ahead, Mr. Treviño.
Hector Treviño: Good morning, everyone, and thank you for joining us to discuss our fourth quarter and full year 2015 results. Our Company closed this year on a high note; building on our strong performance in 2014 we delivered a solid set of comparable results for 2015, supported by the continued consumer recovery in Mexico despite prevailing consumer weakness in Brazil, continuous operating and economic complexity of Venezuela and ongoing currency volatility across our markets. In 2015, our consolidated revenue growth was driven by our pricing power and flexibility in every quarter, together with our increased transactions. We’ve continued to work, outperform our volume growth in key markets such as Mexico, Columbia, Argentina and Central America. Thanks to our proactive currency hedging and procurement trafficking a favorable raw material price environment for most of the year and our breaking discipline in every franchise, we continued to deliver improved bottom line results, expanding margins in almost every country. For the full year our consolidated comparable revenues rose 9%, our comparable operating income grew 14% and our comparable EBITDA increased 10% leading to a 16 and 30 basis point operating income and EBITDA margin expansion respectively. For the fourth quarter of 2015, we achieved consolidated comparable topline growth of 10% and comparable EBITDA growth of close to 11% with improving margins. Our positive transaction performance was supported by our continued focus on amplifying our portfolio of beverages alternatives. Our relentless emphasis on further strengthening our point of sale execution including expanding Cola colors and our growing commitment to win forth our sparkling beverage offering through our introduction of innovative packaging solutions to connect with our consumers at the right price point for every bottle. As a result, this year we generated more than 25.7 billion proper transactions across our ten markets. Locally, we achieved solid growth in our core sparkling beverage transactions, highlighted by a 2% improvement in Argentina and Central America, a 3% gain in Mexico, a 4% increase in Colombia and 9% growth in the Philippines. More importantly, as we continue to manage our portfolio growth, still beverage accounted for 43% of incremental transactions across our -- for the year. Moreover, every operation continued to maintain or improve market share in the sparkling beverage category where we strengthened our market position across the still beverage category. Mexico, Columbia and Argentina continued to gain share in such relevant categories as juice and tea. Powerade recorded important market share gains in Argentina and remarkably we continue to extend its leading position in Mexico. We also saw encouraging month over a month market share gains in the non carbonated beverage category in Brazil in the second half of the year. This year, as we come to deliver a solid set of operating results. In Mexico, we saw continued improvements in consumer indicators, highlighted by the sustained growth in remittances in U.S. dollar amplified in Mexican pesos due to the revaluation, lower balance of inflation and improved employment data. Our revenues grew close to 8% on the back of strong 6% average price per unit case and recovering volumes, which expanded by close to 2% driven by 3 percentage growth in sparkling beverages and increase of more than 5% in non carbonated beverages. Our sparkling beverage performance was supported by 3% growth of brand Coca-Cola and 6% growth in flavors sparkling beverages, mainly driven by Dell Vande, our multi flavor Fanta offering and our recently launched sparkling orangeade and lemonade Limon & Nada and Naranja & Nada launched in the fourth quarter, they accounted for more than a quarter of our -- volumes in the sparkling favor for the year. More importantly, the double cash flow close to 30% of the sparkling orangeade market. In the water category, we saw declines in both personal and fourth quarter as we continue to improve the category profitability. During November, we magnified our water offerings by launching Ciel flavored water and a new formula of Ciel, our sparkling water now with longer lasting bottles. During the fourth quarter, we saw very good volume of high digit performance from these new private launches and we are encouraged by the growth profits going forward. In the non-carbonated beverages, Vallefrut, Powerade and Santa Clara continued to drive the category performance. We more than doubled the volume from our daily business as we continued to expand the amount of sales coverage integration and channels. And eventually [ph] Powerade continued to expand the leading position in the sport drink category, now capturing 52% of the market of growth over territories. Our solid top line performance, combined with our current situation and strategy and our operating discipline enabled our Mexican operations to deliver an 80 basis point EBITDA margin expansion. In Central America, we grew volume by 3% volume successfully building on 5% volume growth from the previous year. By country, Costa Rica grew 1%, Panama grew 4% and notably Nicaragua delivered more than 8% growth as they continue on their own. These increases compensated for the decline in Guatemala. Compared with our volume performance, our local revenue might have been injected and operating fee discipline enabled the region to deliver a 70 basis point EBTIDA margin expansion for the year. Despite the few challenging economic and consumer environment, our operations continued to achieve key accomplishments, lowering market share, implementing price increases and revenue margins and initiatives and expanding our franchise profitability. During the year, we gained market share in both quarters and flavored sparkling beverages, outperforming the industry for the 20th consecutive month. Now we are all going to focus on affordability for our consumers, underscored by the expansion of our one liter and two liter returnable presentation continue to gain positive results. For the year, our single serve -- over presentations grew 7% gaining 110 basis points of mix in the sparkling beverage update. Moreover, we continue to withdraw our single serve offering to maintain competitive, affordable both price points for our consumer. As part of our employee’s revenue managed initiative, we move our two quarterly -- package to $125 and introduced [Indiscernible] milliliters to replace our -- price points. Our two fold Guarana strategy continued to deliver very positive results. On the one hand, our legacy Schweppes brand grew 20% for the year across our Brazilian franchise, while continuing to gain market share especially for our 2 liter presentation. For example, we first launched the Schweppes Guarana. Schweppes has gained more than 10% response this quarter in the Vallefrut [ph] category. And advancing the potential of these initiatives as we execute the roll out to roll out to less than…. On the other hand Schweppes Guarana, a premium offering continue to generate incremental transactions as we gained momentum. In the still beverage category we focused on the brief line coverage to whether with packaging and branding awareness. For this year, Crystal water grew 2%, our broad bin [ph] portfolio grew 13% extending our leading market position. And our Valle Frut orangeade portfolio grew 4%. This increase is partially compensated for a decline in our juice portfolio. During the year, we reinforced our juice portfolio to offer our consumers with more choices, regardless of the size of the pockets. To this end, we learnt [Indiscernible] entry level fitness and strengthened our juice. Although our volumes continue to perform negatively, we started to see month over month sequential share gains in the second part of the year in this category. Most importantly, in a complex economic and consumer environment, complicated by a 42% devaluation of the currency and the series of onetime expenses related to the opening of our new state of the art, -- our pricing initiatives, our currency hedging strategy and our focus on cost control leveled our Brazilian operation to deliver a 70 basis point EBTIDA margin expansion for the year. In Columbia, we marked the third consecutive year of high single digit volume and contraction growth. Our sparkling beverage growth was driven by a double digit increase of Schweppes and Sprite and a 4% increase of brand Coca-Cola. We achieved 19% volume growth in the non-carbonated beverage category driven by the Del Valle fresh orangeade and Fuze tea. Our water category continued to perform strongly thanks to this year's re-launch of our Manantial brand and innovative one way PET packaging for our Brisa brand. Throughout the year we navigated our first volatile quality environment and increased inflation rates. To compensate for this pressures, we implemented slight adjustment that’s coupled with our currency hedging strategies enabled us to defend our Columbian operation gross margins. At the operating income level, we faced year-over-year margin pressures, given the effects of lower comparable marketing expenses in 2014 due to extraordinary participation of the Coca Cola company during 2013 and 2014 as part of the plan. In Argentina, we delivered close to 4% volume growth and close to 6% increase in transactions. Our sparkling beverage volumes remained flat. And increasing flavors, driven by Sprite and Schweppes, offset the slight decline in colas. Water performed strongly, growing 20%, supported by our Aquarius flavored water and Bonaqua brand. In the non-carbonated beverage category, our volumes increased by more than 30%, driven by Hi C orangeade, Cepita juice and Powerade which continue to perform strongly. Our amplified beverage portfolio is strength of our turnover packaging portfolio and our commitment to investment, bought us to re-franchise efficiency and continue to generate market share gains across every category. This was highlight by more than 3 percentage volume gains in flavored sparkling beverage mainly driven by Sprite, which is now the leading brand in this segment. And the substantial increase in sport drinks where Powerade now has reached market share of more than 30%. Our revenue management capabilities, our currency hedging strategy and our operating discipline continue to deliver solid improvement in our gross profit and EBITDA margins reaching 12% to 20% EBITDA margin for this year. In Venezuela, tough operating and economic environment we experience a 3% volume decline. In spite of this we continue to gain market share highlighted by more than 3 percentage point increase in colas on an increasing volume [ph]. We continue to protect the profitability of our Venezuela franchise through our focus revenue management initiatives, efficiency gains and production of the most profitable and fast rotating SKUs. 2015 marked the third record year of our entry into the Philippines, a promising long term growth opportunity. Over these period we have successfully transform the phase of this operation to drive direct relationship with our client, introduce a flexible one way Fuze tea portfolio, focus on our core brand and importantly transform this franchise supply chain through investments of more than $400 million which were generated by these operations. Our game changing [Indiscernible] 250 and 300 milliliter one way presentation continue to deliver solid results for our sparkling beverage portfolio enabling our one way presentation to gain 320 basis points of our mix of core sparkling beverages to reach 38.2% for the year. To complement this new flexible portfolio, we launch Timeout a new taller, slimmer [Indiscernible] returnable glass presentation at Philippines and we continue to reverse [Indiscernible] our 750 milliliter with returnable glass presentation. Turning to these initiatives, we grew our core sparkling beverage volumes by 7% and transactions by 9% for the year. These renewal portfolio has allows to gain prices and revenue management flexibility which have enable us to deliver increase credits. Most importantly, current source of our ongoing strategic transformation, our business facility deliver positive operational and financial results for the year. We are encouraged by this operation continued improvement and we continue the profitable evolution of our business in the Philippines. Moving on to our financial performance, our comparable net income for the year generated MXN4.59 per share. Adjusting for one-time tax benefit recorded last year in Brazil our comparable earnings per share grew 6% for the year. The main factors affecting our reported earnings per share for the year were higher interest expense in Brazil, foreign exchange loss related to depreciation of the Mexican Peso as applied to our U.S. dollar denominated debt position of approximately $650 million and operating currency fluctuation effect resulting from the merger of our operation policies on our operation courses on our border. The purpose of the reducing counterparties risk during the fourth quarter of 2015 we reflect the terms of the swaps due to changed dollar denominated debt into Brazilian Real in connection with the acquisition of Spaipa and Fluminense in Brazil in 2030. As a result, we reported a payment of advanced interest expense due to interest rate differential between the level at which the dollar debt was originally swapped, and the level at which it was reset in the recouponing. So, at the end of 2015, our net debt to EBITDA ratio including cross currency rate swap was 1.57 times. These has drop from 1.76 times at the end of 2014. We continue the evolutionary transformation of our -- capability, SKUs and operating model to capture profitable future growth. To help both these transformation our Center of Excellence not only enable centralized collaboration and knowledge sharing to benefit our operation, but also provide the potential to generate significant operating efficiency on failure, along with opportunity to deferred CapEx through better asset management and in order to distribution models.. Moreover we continue to relentlessly reinforce our point of sale execution, our supply chain and our high portfolio growth and packages to meet our consumer’s ever changing need and successfully navigate on evolving challenging market environment. To this end, we maintain a discipline approach to capital allocation and we continue to optimize our maintenance growth and strategic capital extension to maximize our return on invested capital and deliver sustainable profitable growth for our shareholders. This year we continue to increase transactions at a volume growth into markets such as Mexico, Colombia and Argentina. We further deliver balance transaction growth which still beverage representing 43% of our incremental [ph] transaction for the year. While maintaining and improving our market share across all of our countries we successfully increase our prices per case in line with or above inflation in most of our markets. Supported by these top line performance together with our active hedging and procurement strategy and our financial and operating discipline, we deliver EBITDA margin expansions in almost every operation highlighted by Mexico, Brazil and Argentina,. The performance of our Philippines operations remains encouraging, delivering strong volume and transaction growth in our core beverage portfolio generating important growth cost on expense savings through our improved logistics and manufacturing capacity and ultimately enable us to deliver consistent profitable resource moving forward. Innovation on this core, our portfolio continued development and performance as simplified by the launch of our sparkling orangeade and lemonade in Mexico. We will reinforce where on that portfolio and returnable presentation in Brazil and not only the performance of our Santa Clara portfolio, where we more than double our volume through our response client covers in the traditional trade channels and our home delivery platform. Finally, supported by our commercial manufacturing and distribution and logistics Center of Excellent, we continue to transform our management and operating models to deliver solid improvement top and bottom line results, and increases returns for our shareholders. As always thank you for your continued trust and supporting Coca-Cola FEMSA. And we would like now to open the call for any questions. Operator?
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Luca Cipiccia with Goldman Sachs.
Luca Cipiccia: Hi, good morning. Thanks for taking my question. I wanted to follow up on two markets, one on Columbia, maybe if you can give us more background on the positive volume momentum that you keep maintaining there? And how do you expect that to trend in 2016, but also what is driving in terms of execution in terms of pricing strategy, in terms of market share dynamics maybe that would be helpful? And then secondly, on surprisingly we keep saying volumes in Brazil suffering. You are going to entry probably easier comps now in 2016, so just wondering whether you starting seeing some degree of a flow in the volume performance there in terms of growth, in terms of outlook for this year and you keep reiterating or highlighting how market share trends have actually been supportive, so how do we reconcile that with the type of volume decline we continue to see?
Hector Treviño: Good morning, Luca. Well, let me start, in Mexico I think that we have been looking at a consumers that has been recovering, the consumer confident and in a way as I mentioned during this speech, remittances and some of the indicators we look at the retail operations that have been reporting recently, we see a good numbers in economy [ph]. So I feel that the name of the game in Mexico for these coming years is to continue to deliver affordability to our consumers in some of the areas that we still need to provide an affordable growth. And for us we able to continue increasing prices to compensate not only the inflation rate but also the affects of some of the internal costs that we have as you know is good portion of our raw materials are dollar denominated and which are being trying to pass alone those cost increases to our consumers. I think that in general we are seeing stable market share in Mexico. We have very large price gaps versus our competitors, therefore in different categories you might see small declines, but very , very small declines in the market share, but we are favoring the price increases even though that might implies a small market share erosion in volume terms, so that we can maintain our market. We have been doing so many innovative launching like this [Indiscernible] that has been growing very importantly that’s why you see the performance of flavor, important flavor feed this outperforming. And I think that again the name of the game is how can we continue to protect the profitability of our Mexican operation in a very volatile environment in terms of the FX volatility. In terms of raw material prices, we are seeing the prices coming down. We are seeing sugar prices coming up a little bit, but in general I think that we can argue that we have what has been very successful hedging a strategy for the last two or three years. You have heard that our reduce funds where we are protect some of the volatility of the cost structure that we have in the raw materials. For example in the case of Mexico, we already have hedged 40% to 45% of our mixed raw material for next year. So, we hope that this will also help us, as we build 2015 in terms of us being able to protect some of this cost pressure that we have. This is very important, Luca, because as I have mentioned that we have very high price gaps versus our competitors, it is very important that we are not forced to increase prices more than what is needed because of this FX volatility. I think that we are -- finally in Mexico, consequently, center of excellence, as we roll out some of these new processes and way to approach and the way of approaching this commercial practices and supply chain practices. We are expecting also to see some savings going forward and to help the profitability in place of Mexico. So all in all, in Mexico, I think that we are seeing a consumer that is feeling a little bit better. With volume, some of the promotional activity that we have, so we see volumes growing, we see maintaining our market shares. We see our prices, volume with inflation was slightly better than that in order for us to compensate for internal costs and you see a very big effort in having a lot of attractiveness and efficiency in our international banks. All of that should combine for us to maintain and improve little bit our margin for 2016. If we move to Brazil, Brazil’s history, that basically has to do with topline if you correctly counter that. Historically, Brazil has more importance because the consumer is not there. The consumer confidence is very low. The consumer is worried that it has a lot of debt. They are starting to stop purchasing some variable goods and some consumer goods and therefore our volumes have suffered. The rest of the indicators in Brazil are good. We have very good cost control. We have good cost of raw materials. We have some hedges that have been also inflating in Brazil. But for 2016, half of our means in Brazil have a very good research. So, we feel comfortable on that front and we have seen improvement, again in efficiency of our SG&A and we see lower expenses compared to our earnings. But the main problem is that volumes are very soft. January is a very difficult month to try to predict the plans before 2016, but January has very, very low volumes because January of 2015 was a very, very good month. So volumes were down, high single-digit numbers during January. We are starting to see a better -- we are seeing a better fed rate. But I think that the main problem in Brazil is, when are we going to see the consumer coming back to our approach. I think that all this strategy that we have developed over these last two years are very important, basically looking to protect our profits and looking to put in front of the consumer an affordable package. That’s why when we finished this projection plans in the state of Minas Gerais, we basically finalized or finally got to a stage where we have the annual production capacity close to our consumers not very close. So, [Indiscernible], the returnability have been growing importantly, which is an indication that the consumer wants to buy our product, but is moving away from the single-serve presentations and buying the multi-serve presentations in a way of having a more affordable flow. So the production of the capacity that we have of the same case, the consumer’s different affordability with different price with different affordability would be very important in the next two years because we think that the consumer would continue to be in a tough environment for the next year and a half of two years. I hope that this is a good explanation for your question.
Luca Cipiccia: No, absolutely. Thank you. Thank you very much. Maybe just a very quick on Brazil. Your market share improvement, so that’s going having to do with pricing given -- or you seeing elements of trading down for consumers somehow switching to other brands or other products at lower price points? How do you reconcile your market share gains with the weaker consumer and the risk of trading down maybe in some categories?
Hector Treviño: I think the current market share is -- and [Indiscernible] times we see volumes for this month of January, as I mentioned that we have a high single-digit volume decline. I’m not worried about market share. But whenever we see that we have a delay releasing that. We receive information and then we see again corners where we have a very high market share and I’m taking a number of flavors, increasing a little bit market share because of the quality staff that I described. And then you have these and all of this growing market share. So it’s a clear signal that the industry is shading very close or similarly to our performance, which again is an indication that the consumer is still injured than we start to one of our focus. Okay.
Luca Cipiccia: Thank you. Thank you.
Operator: Next, we will hear from Fernando Ferreira with Bank of America Merrill Lynch. Mr. Ferreira, your line is open.
Fernando Ferreira: Hello. Can you hear me?
Operator: Yes. Please go ahead.
Fernando Ferreira: Hi. Good morning. Hector, I had two questions please if I may. First one, I’d like to hear a little bit more on your price mix expectations in three countries, Colombia, Argentina and Brazil in 2016. Given the weaker currencies in these three countries, how do you feel about -- and the higher inflation of this divide, how do you feel about pricing there? And then second question, I have to ask about the review. As you were franchising last week, James Quincey was very focused on the acceleration that Coke wants to do on the refranchising plans in the U.S. right and how do you feel about this new model where they agree to sell the production assets as well and if you have any updates on that front? Thank you.
Hector Treviño: Good morning, Fernando. I think that -- and let me give you a general comment for all the franchisees, not only Colombia, Argentina and Brazil. I think that you have [indiscernible] and basically for the last two years, cost is starting to report transactions. And I think that there is a very important element here that we believe that we are in a much better alignment with the Coca-Cola Company in the fact of looking at revenues, transactions and not so much gallons or volume. So volume is important, market share numbers are important but share price is also probably more relevant. So, our plans for 2016, basically calls for trying to continue to improve the price mix formula in each of our countries. In areas where we have high inflation as in the case, Argentina, Brazil and I know that Venezuela is not that important but Venezuela is also a country where we have very high inflation. We are trying to at least keep up with the pace of inflation and our plans for 2016 even calls for real price efficiencies in real terms ahead of inflation. I think that’s a very important element in order for us to be able to maintain the profitability, especially as some of the volatility in that places translated into inflation, especially into cost inflation because of our raw materials. In the strategic case of Colombia, for the last two or three years, we were embarked what we call plan Colombia, where we lower the prices of our approach to make it more affordable than to really create, a region attraction and [Indiscernible], I think we have a complete radicals. Before the last three years, we have grown volumes close to 10% every year, soft drink and the profitability because we have lowered the price. Now, we are at a stage where we are recuperating some of these prices. My belief is that given the denomination of the Colombian peso has also put a lot of pressure on our competitors, so whenever we have increased prices, our competitors have also followed which is good for us also and we are taking our base in Colombia. In Argentina, the consumer at the beginning of the year is also suffering a little bit because of the adjustments on the FX relating from the outcome of what happened in December where we move basically from a 10, 11, pesos to 4 billion pesos per dollar. Salary negotiations have not being figured. Data would be finished in May. So this is the case of an environment where most of the industries have already adjusted prices because of the devaluation of the Argentine peso, but the consumers have not received the salary increases and therefore the consumers is not necessarily going to our approach or some of the other competitors or some other consumers. But we feel that Argentina, given the fact that the country and the individuals are not that leveled, they don’t have a lot of debt in place in one of its province for many years. I feel that it’s a story where we see a very fast recuperation of the consumer. In the case of Brazil, it’s a little bit more reach. We see a consumer that has a lot of debt but is now trying to save a little bit more by repaying some of that debt. And we have seen in another industries also in the cases of very strong declines in topline and as I mentioned, January was a tough month. We have a very difficult comparison versus January 2015 and I think we have easier comparisons for the rest of the year recurring in none of these three countries, given the fact that we are anticipating a higher inflation that what we shared before. We will try to move prices ahead of inflation. With respect to the -- and as I mentioned, I think that a very positive note is that also Coca-Cola Company focuses more on revenues and profits as opposed to just working numbers or gallons stuff. With respect to the U.S. refranchising, we know that The Coca-Cola Company has its presence in several locations and they would like to finish within by 2017. We have not -- we do not have anything new to report so far in terms of odds engaging The Coca-Cola Company. We have not being approached -- still with our futures. I think that the U.S. market is a very interesting market, especially some of the states that are really in the parts of The Coca-Cola Company, especially in state of the Mexico territory and we are very glad that The Coca-Cola Company is changing to a moment where it is possible we will have a control on the production capacity. Because we think that our many years that we have been operating this business, we now have a very, very good expertise on other things that has to do with the supply chain and I think that it is important that if you are competing in that market that you have the lowest cost possible in terms of production and distribution. So, I think that is a positive note that The Coca-Cola Company is moving in that direction. Thank you, Fernando.
Fernando Ferreira: Great. Thank you, Hector.
Operator: The next question comes from Antonio González with Credit Suisse.
Antonio González: Hi. Good morning, Hector and team and congratulations on the results. I have just two quick questions. First, on the write-up of the release on your equity accounts, I wanted to ask a, is it mostly Venezuela, or is there anything else say on the Brazil acquisitions of Spaipa, Fluminense that is relevant? And second just, I guess technically, why did you decide to not take the hit through the P&L and just do it directly in the balance sheet? So that’s my first question. And then secondly, I just wanted to ask very quickly. You did some comments earlier on the margins that you expect for Mexico, et cetera. I just wanted to confirm that overall, when you look at all of the markets, do you think that given the currency depreciation in Mexico, Brazil, Argentina and so forth, you will be able to maintain a flattish or increasing margins on a consolidated basis this year? Thanks, Hector.
Hector Treviño: Good morning, Antonio. Let me follow the first question of the balance sheet item. What we have there is a relative translation. Basically, we have to do with all the translational effects with different countries due to Mexican peso. So for 2015 and we have Brazil, Argentina, Colombia and Venezuela, depreciating the currencies more than the Mexican peso. When we translate those numbers into Mexican pesos, we have this effect which is basically a balance sheet item. Everything that has to do with balance sheet accounts, the translational effect goes into the equity. If at P&L -- longer than it effected devaluation, very close to our P&L. I don’t know if that was your question. This is the number in the equity where we have -- and the effect basically is that we have -- the equity that we have at the beginning is increased by the retained volumes of 2015 and then is used by this translational effect and the dividend that we pay. And that’s basically why we have it more [indiscernible] but there won’t be a special reduction in our capital. Is that your question, Antonio?
Antonio González: Yes. That’s very clear. I was wondering why it wouldn’t go through the P&L but your response, there is no write-up of a goodwill of the recent transactions or anything like that in which case you will need to enter the P&L, right?
Hector Treviño: Well, it doesn’t have anything to do with goodwill. I think it’s just the translation of the balance sheet accounts of this country’s into Mexican pesos and given the fact that the devaluation and of course quality were higher than the Mexican peso. They devaluated the super Mexican peso. That’s following the accounting goes. Okay.
Antonio González: That’s very clear. That was what I wanted.
Hector Treviño: And then with respect to your second question, we are basically -- Brazil, yes, we will try to maintain our margins despite the volatility that we have. I have to say that if you look at all the predictions for FX of the different countries is very tough, is higher economies that have this Mexican peso at a 20% level and we have some economies of this Mexican peso coming back to below 17%. So, I think that our idea and again, as I mentioned in our comments, we are very active in hedging strategy. We will do a 12 months rolling where the closest three months we have a major portion of our mix taking call. We never go to a 100% cover because it wasn’t worth like taking a risk and this is not a profit center, just a way of trying to give some stability of costs to our operators so that they have the stability on the costs and therefore a stability on the price increases that they have to pass through the consumer. Just to give you an idea, as I mentioned, in Mexico, we have between 40%, 45%, a rate power for 2016 and I feel we are closer to 50%. Colombia, we have 30% and Argentina, we were anticipating devaluation and we started to do some hedges since last year. Even for 2016, we are closer to 60% of our reach. I already covered as what we believe are very effective rates. Having said all of that, price increases, reinflation or slightly federal inflation, some tailwinds in terms of the PET prices because of the oil prices on a worldwide basis, some headwinds and sugar prices because we are seeing sugar coming up little bit. And some of the costs control and with the features, we have introduced with the center of excellence. Basically, lie, test, direction is the rule to maintain margins or improve slightly the margins on a consolidated basis. Okay.
Antonio González: Thank you, Hector.
Operator: Next, we will hear from Carlos Laboy with HSBC. Mr. Laboy, your line is open.
Carlos Laboy: Hello. Can you hear me now?
Operator: Yes, we can.
Carlos Laboy: Two questions relating to Brazil, Hector, please. The first one is can you comment on, give us an update on how long you think it will take you to get price compliance in Brazil up to the national average of the entire system? And second of all, whatever evidence can you share with us of improved point-of-sale execution in Brazil? The reason I asked the second question is because we see volume declines of 5.5%, but 8% decline in transactions, which would seem to indicate that there is difficulty in the traditional trade and it’s hard to tell from the outside how much of that is the economy and how much of it is some of the execution measures you are putting into place and yet taking traction?
Hector Treviño: Good morning, Carlos. I think that, as I mentioned, I believe it’s one of the last conference calls, we have -- there are positive things about being in Sao Paulo because it’s a very large concentration of people in this modern age. And similar to Mexico series, it brings some efficiencies to sales force, distribution and supply chain. The difficult part would be in the capital feel about the country is that where all the competitors are pressured in the fields of -- and [Technical Difficulty]. We are tooling some of the price points and let me give you some examples. You interrogate and talk about the one, two, three price points, market price points to the consumer given the devaluation of the Brazilian reais, plus inflation that we are seeing in our costs. It’s very difficult to maintain for example the one reais in price points. So, we are improving that from 1 to 125. In some cases, you will see the traditional stage is very most -- and also we’ve exceeded. We have already taken some of these prices up and therefore compliant was not as well. In cans, which is an important SKU in Brazil, we are moving from the 3.50 but we are selling at 3 reais. Now, we are lowering the size because we are [indiscernible] and as a way of trying to maintain the 3 reais price points. That currently is growing very important but because of PET is coming down also very importantly and we are maintaining that to 50 tons to supermarkets. So, I think that our operators are doing a good job even though the changes that we are doing. We are happy we are improving this some of the execution and some of the things that -- company ranks. I think that the issue that you mentioned about volume declining 5% and transaction declining 8%, has to do a lot with the fact that we are selling more and more multi-serve presentations. So, leaders, we are not declining as much and with the consumers switching to like the presentations to share with family, with a friend as opposed to finding single-serve presentations and that with the fact that it’s affecting transactions coming down. I think that the important element in that field that we should not [indiscernible] it from that is that we are improving margins in the field, even though we are going through a very difficult tough economic and consumer environment. With inflation, devaluation and everything, we were able to increase a little margins as much and we have continued to gain market share, which is also a very important element at the stage of our operations in Brazil over the long term. I think that’s also the main element that I can comment at this time. Thanks.
Carlos Laboy: Thanks, Hector.
Hector Treviño: Thank you, Carlos.
Operator: Next, we will hear from Andrew Teixeira with JPMorgan.
Andrew Teixeira: Hi. Hello. Thanks for taking the question. Just to -- I think we extensively worked on the margin fronts but I just wanted to get a little bit of color on the revenue front if you think that. Obviously, you have easier comps in the fourth quarter. So how are you seeing 2016 as decided like with a tougher compare and that’s specifically on Mexico? And then obviously, Brazil, I’m assuming with what you just described hasn’t been an easier market now despite your market share gains of course? I mean, what I want to also to explore, if you can comment a little bit of the refranchising of the U.S., which apparently has had some changes recently to group I guess. If you can comment, if you’ve seen indeed an acceleration of interest or movement there and lastly on the hedges, it sounds like you have had some hedges but if you can comment on how it has and so part of your explanation that you aim to have, aim to have like a flat margin, if that has to do with the like more consist of hedging through the regions? And lastly, if you can touch on Argentina, if you’ve seen better volume trends there given the shortfall in the fourth quarter? Thank you.
Hector Treviño: Good morning, Andrew. I think that -- let me start with Mexico topline, I think that if you look at what’s happened in Mexico over the last two years, we’ve had the tax, volumes came down reportedly close to close to 5%. We have grown volumes not relevant, that we have in 2013, but we are very close to those levels and we are seeing the year for next year where we see some volumes increase in Mexico very close to these type of loss in Mexico, so somewhere around 2.5 to 3% working growth but that will be my call for Mexico. We are still [Indiscernible] again the consumer is not there, it's not responding to a lot of the promotions that we have, but the trend that we are see is the consumer moving as I was explaining the previous questions to big packages to more deserved packages away from the one way packages and we are moving to return our packages also which is basically a very clear signal to the consumers looking for our growth but they are looking for the affordable price on that. So…
Andrew Teixeira: So you mean in Mexico or the line is not very clear.
Hector Treviño: Sorry, no I was -- in Mexico what I am seeing is I mean our consumers. In Mexico, what I was saying is I am seeing that the consumer, a better consumer environment this 2016 and therefore we will see some kind of volume growth in that the GDP, that's my summary for Mexico. In the yield, I think that the consumer, he’s suffering a lot from as you very well know from the oil increases that they have in the electricity transportation and all of those very basic rates [ph], the evaluation of the values is very large, so and the consumer has a lot of debt, so my view is that perhaps even we will see volumes are very similar to what we saw in 2015, maybe a slight increase over that. I think that the industry is expecting something similar to that, and even though we have been suffering in volumes, we have been able to maintain or increase market share in all of the markets. So the name of the name -- the name of the game in the fuel is to have an affordable growth in front of the consumer, maintain some of the magic price points so that the single serve presentations continue to have some traction. And therefore we are adjusting those presentations to smaller sizes, but the treatment [ph] is that magic price. So with your consumer, that is not necessarily with a lot of resources to spend on consumer’s goods growth, but we will see importance, either flat or a slight increase in versus 2015. With respect to the…
Andrew Teixeira: [Indiscernible] right. Sorry that would be a market segment. No I was just saying that, that will continue to evade market share gains in Brazil, because it is obviously declining.
Hector Treviño: Yes, yes as we mentioned we have been having very good performance in that front of the market share from remaining months and now we think that we will continue to gain market shares in Brazil.
Andrew Teixeira: Okay great. Okay, and then on the hedges just to clarify that is that are you putting more hedge in places than before because some of the comments, and I know you extensively explained, so I apologize that I want to go back to the cost side, but the hedges you continue to renew those or even increasing in some of the countries, I mean or hedging out for just the price of sugar, is that a fair assumption?
Hector Treviño: Well, I think that in general what I can say is this is as I mentioned, we moved and let me give some examples. For the following three months, we basically moved between 40% to 70% of our needs should be hedged. We don't like the exchange rate as if for a simple moment of some of the currency. We moved to the lower plant, closer to the 40%. We would see that there is an opportunity that we see a further deterioration of the changes we move closer to the market. During 2015, because of the we were starting with this volatility, we were closer to the higher side of our dispatch. During 2016, we have a smaller, we have a novel amount of [Indiscernible] as a percentage of our need, but I think that these are very reasonable and I was mentioning in the previous questions the VLID [ph] in Mexico we are on 43% of our needs. For the full year in Brazil we are around 50%, in Columbia we are around 30% and Argentina we are very close to 60%. In Argentina that was one notification where we started a few months ago started to get some of this in 2016, because we were seeing disappear in this evaluations, so we were moving ahead very fast and then Argentina is one of the countries where we are kind of on the top of the limit that we self imposed in our process of interval. And with expect to the U.S. franchise we are certainly interested in analyzing whenever that happens. I know that the Coca-Cola Company has been a bit more vocal about finalizing these process by 2017, and as I mentioned that [Indiscernible] of Mexico would be very interesting for us. With the respect to the consumer in Argentina, we are seeing a consumer that was trying to buy a lot of assets and consumer goods towards the end of the year before the big depreciation of the currency and now the consumer is going [ph] further away from buying stock basically because most of the salary negotiations in Argentina will happen during April and May, and that is where most of the contract, the labor contract is renewed and especially during the first quarter, you will see adjustment of most of the adjustment for the prices of most of the items that the consumer will buy, because everyone is adjusting prices because of the devaluation of the currency, but the consumer has not received the salary increases yet. So, what I am expecting is that a very fast first quarter or early April will be a top month also. And then probably a better performance in the second part of the year, the consumer has better salaries.
Andrew Teixeira: No sorry, I didn't mean to interrupt you, but I just thank you simply you know.
Hector Treviño: Well thank you. No I was going to say, that answers your questions. Thank you then.\
Andrew Teixeira: Thank you.
Operator: Next we will hear from Alex Robarts with Citi.
Alex Robarts: Hi, thanks for taking my question. I wanted to go back first to Mexico the comments I appreciate about your view on volume this year, but I maybe just sticking to the top line outlook in Mexico the other side is price. And you’ve done a good job in the last quarter and frankly last year in getting average pricing on a comparable basis couple points above the inflation. As you think about the better consumer in Mexico, as you qualify them this year, how do you reconcile the need to continue to pass on the dollar, COGS [ph] pressures but at the same time as you said earlier there are some areas where you need to bring in some affordability, where you feel, I guess in the portfolio of Mexico that you are higher than you like to be pricing wise. I mean, would it be fair to assume that it's in the jugs and in the non-carbs where perhaps you want to bring the affordability to the customer and if those are the areas again how do we think about just supposing that with the need to and have handled this internal cost inflation that you talk about which is in large extent related to the FX. So just kind of thinking about the ability to get pricing beyond inflation this year in Mexico and where the areas you are looking to inject the affordability?
Hector Treviño: Good morning Alex, I mean I think that your questions comprise very well a lot of the dynamics that we have in Mexico. As I mentioned in the previous question there are different magic growth of this industry. Mexico -- environment because it has all competitors converging shares that there are competitors in Mexico that are not pricing in order -- large [Indiscernible] on the contrary like Monterrey, some of them are not basically -- but some of them are getting closer to -- and those are some of the things that we need to participate. And moving the consumers you also find the opportunities you have as we look now that is getting away with more release of the economy which is improving and they startg to spend a little bit more on single surface temptations, but as you know it bodes very well with our price mix in terms of -- with the equation for price. The other areas of the country, of the cities, or the country also where you need to provide an affordable price to the consumer and as you start to have pressure on the cost structure because of the depreciation of the currency, you need to start also to trying to change the types of the presentation to maintain a price point. For example, we are moving 600 milliliters is very important for us in the whole country. We are also launching 500 milliliters in one way at an attractive price at the way of having that presentation and then during that presentation is still the longest that peso that Mexican peso, for -- consumer. So those are the studies that are very important. We need to continue with the turnover and we deal with some of the rural areas of Mexico city or rural areas of the country where the link is very important. I think that the opportunity that are recoveries the economic could win is defined as the pricing mix that you have mainly at different SKUs that we have [Indiscernible]. We do have a very complex portfolio but at the same time that give us the flexibility to provide to the consumer a different price point to the consumer occasionally. As we have ben improving in analyzing data and having a more physical platform in our commercial structure, we do have much better information that we can take advantage in terms of improving the topline of our operations. So Mexico is a place where we feel that we have the capacity to balance precisely what you are saying. Having the fundamental growth for the areas of the [Indiscernible] areas of the country where we need affordable package. And taking the opportunity of revenue growth management in the areas on the consumption occasion where we see this opportunity. All-in-all, as we’ve called for Mexico to have a flat point, a final price formula that when you look at these the least -- to the mix effect plus the price increases that we will do to compensate for these, we will see a pricing that is -- like a business that we’ll go aginast inflation. We shouldn't forget about these and the growth that we are covering them. And ACV [ph] do carry a better price formula for us The Powerade, the Santa Clara, the daily effort that we are facing, those are also efforts that there are a lot of complexity to our structure, but I feel that we are very good at managing that complexity and we are very prepared on that front. And conceptually and -- these normal, these complexity should bring also better pricing formula for us as we improve on the NTV [ph] execution. While you have always for many quarters now you have seen a declining volumes in water and that basically is a refletion that we are reducing commercial terms to our -- to the trade and improving price to consumer because simply water is a very low margin SKU of price or category compared to see this and we are trying to improve execution in that category. That’s why what we are doing in terms of launching water with some juice content like the CLS [ph] cream flavored water or the sparkling -- effort that we gain in Mexico to have a very nice cloud bottle [Indiscernible]. We were successful in that, we also bring some profitability to our water business that is as I mentioned is one of the -- this is one of the few opportunity to improve margins there. So with that I gave you a good explanation on these facts.
Alex Robarts: For sure, for sure. And that was a very comprehensive, so the 2.5 for the kind of GDP type of volume growth in Mexico was associated with pricing I had in place. Now that that’s set fair and clear and thanks for that. The second question is on Asia, and I guess our read on coke bottler consolidation kind of suggest that this is an area where we could see some stepped up activity on the M&A front. And I think back three years ago to what Carlos [ph] said on the outset of your deal in the Philippines, that other markets could present themselves so this specific question on Asia is given as you said the transformation has been successful in the Philippines three years since the deal since you started there, does it make sense for you to contemplate taking ownership sooner than later in the Philippines, when we think about kind of Atlantis [ph] speech or seeming to be getting asset lights quicker rather than later. And if that is the case, is it something that you think about in the next 12 to 24 months and when you look at big, it's clear that some other interesting markets on that list, Myanmar Vietnam, kind of comment a little bit about Coca-Cola FEMS interest there which I think was implied by Carlos’s comments three years ago. So essentially, your cost view over the next few years in Asia, that's kind of the question. Any color would be great thank you.
Hector Treviño: Thank you Alex. I think that the story in Asia is as follows. We clearly entered the Philippine markets as a way of -- and I feel that I should say also for the Coca-Cola Company for us and the Coca-Cola Company to test our capabilities and see if we are successful in buyers. The Philippine market is the most westernixed of in our industry the Philippine markets is _ westernized in the Asia region because the U.S. was present there for many years. Coke has been there for many years and we have talked about that in the past. So the strategic intent of what’s going and having a retail in the Philippines is basically a good idea of expanding the Asia market. We have been there for three years. I think that we are improving in a lot of metrics in the Philippines in terms of execution, in terms of growth of market, in terms of the -- performing the portfolio, in terms of how Coke brands is especially Brand Coca-Cola is growing in the Philippine markets, but we felt that were 2.5 years the reduction of the local brands including Coca-Cola that were kind - in case of much volume Italian Coca-Cola and both cola being sold in the restaurant. So I think we have a lot of positive things which are improving on the quality of the products and the supply chain. I think that we still need to get to a better level of profitability in these markets. It’s very competitive, low prices, and I think that we are doing a good job, but margins are not still at the level that we would like to see. So just to remind everyone, we have, we own 51% of the Philippines which have amounted to the other 49%. I think that the first step in the expansion of the Philippines conceptually should be buying that 49%. I think that unfortunately sometimes we still have four more years to go of that option, and we have some more in time, we -- we have an opportunity to buy some of the authorities like the [Indiscernible] because we are now both comfortable with the Philippines and we know that there is some traction in volumes which are part of the strategies for the following years which help us in the profitability for us. If we try to do like Santa Clara lead as deferred to exercise, the option four years from now and then to have the other territories to be present for M&A opportunity. I don’t know that the timing of these things. But definitely we are present in the Philippines, a very very clear indication that we are interested in those markets.
Alex Robarts: Yes, yes that's -- that's very clear. Thank you for that.
Hector Treviño: Thank you.
Operator: Our final question will come from Jeronimo de Guzman with Morgan Stanley.
Jeronimo de Guzman: Hi, thanks for taking my question. I wanted to follow up first on the Philippines, what I noticed was that your sales are growing less than the volumes. So I just wanted to understand what is driving that, are you having to be more promotional to driving that volume growth or is there something else that's driving that?
Hector Treviño: Good morning, Jeronimo. 2015 was as I said is a year – let me go one year behind, 2014 we saw first a very, very competitive environment because we launched this presentation, it needs more on the resources [Indiscernible] but specially we need more again the game changer because we got the introduction of our one way presentation. That 2014 competition reviewed the price of the returnable presentation and that process to adjust the prices in downward in 2014. 2015 we have improved the prices, first all the -- has moved in the direction of packages that our more affordable because the competition is still there. I think that Philippines and that’s why I was referring to the profitability, the Philippine market now starting – as I mentioned we are doing a lot of transformational things in terms of portfolio develop maybe supply chain which have a lot of indication that we have develop right track on that. There is still the market where we need to grow volumes in order to get a better traction of the profitability. So, further discussion that we have for 2015 is to maintain price point at an attractive level and try to get embedded model number. As a reflection just it also surprised to everyone, January numbers were very, very good, very good, it was close to 20% and little more. I don’t think that January will then repeat every single month going forward, but we are achieving that by maintaining price points that are very compelling. I think that whenever we gain in the Philippine is to get traction with the volume, when I say traction mean its increasing volume, I’m trying to maintain prices with inflation. I know that we’ve got a lot of pressure from our competitors because they are important in prices [Indiscernible] but I feel that we have now a great – introduce a correct flavors, the correct prices, the correct price points and I think that we have correct efficient to start bringing revenue management initiatives and efficiencies in the operation that will be a little better profitability. The profitability in Philippines is below and you see EBITDA levels in financial statement. So I hope that I answered your question.
Jeronimo de Guzman: Yes. That was very helpful. Thank you. And then follow-up on Mexico, what I saw was the operating expenses, you had pressure in the fourth quarter. I know for the year it was – you still efficiency. But I wanted to know if there was anything specific that was driving those – that pressure given that it was a better quarter in terms of volume? And then with Centers of Excellence I was just wondering if there was any specific areas where you see the most opportunities in Mexico for greater efficiencies?
Hector Treviño: Yes. We do not have specifics on all of the SG&A. We do have some dollar dominated expenses specially would reflect to IT. Anything that relates to IT is dollar rate, even if you are buying from services from local suppliers, most of the big companies have operations like HPU or SAP, we have operations in Mexico, but the pricing are dollar rated. There is nothing especially dollar rate, already done and approximately currency fluctuation on some of these expenses. The Center of Excellence, I do this expectation that we’ll start to see better efficiencies, how we manage some of seasonality to some examples. Instead of having production plant in each of plants we could have centralize in whatever we decide to go at more of first share service. We are doing that now in Mexico. We having excess of production planning centralized in Mexico and do that or the production plans are at the work around different countries. At the same time the country say about maintenance routine that there being planned with the people and people that are expertise. So in a way we are reducing the work force of all the different production and different centers and having a group of experts doing some of those forms on center. I think there are opportunities with that and also for CapEx we better plan around the different countries. With the commercial center of Excellence we are moving a lot into the utilization of the -- the contender have the percentage spending much more timing in the field because rather than going to the work to distribution center every morning and every afternoon, given the all the technology, the modern technology we can leave directly from the switch house and start the first productivity is to reach that is supposed to go in for instructions to the distribution center. So that will give us better granular segmentation of our brand, better data, mining and analysis of how the consumers indicated. A specific segmentation of initiatives and targeting a specific market in initiatives that the percentage we have basically client a specific portions that will lead to better efficiencies. So at the end of day we will have better time number, better quality time with its clients. So my expectation is that as we roll out these and we are going through the initial stages of these centers of excellence especially in the format which is not part of what I was playing in the digital, the digital platform. We are basically rolling out the best marketing decision in Mexico that has been successful, and we will start to roll out that, that feeling would bring a better pricing or better portion and we would have a much better analysis and control over the initial result that we will be rolling out forward.
Jeronimo de Guzman: Thanks. That's helpful and then just one last question and just kind of reading through some of the interest expense from the -- and in general, just kind of a broader question of with the exposure that you have to U.S. dollar debt being 32% of your debt. I mean how comfortable do you -- given the volatility in FX. What's your comfort level with this kind of exposure and then do you see any kind of debt management initiatives going forward to kind of change that mix?
Hector Treviño: [Technical difficulty] Hello, Jeronimo I don’t know what’s happened, but we got disconnected. And I don’t know if everyone heard what I was saying about the last Jeronimo question. Basically Jeronimo when on your premix [ph] we have been meeting with the board of directors yesterday and the finance committee reconfirmed the limit that we have of selling maximum $700 million worth. Right now, we have $650 million worth of exposure. We feel comfortable that what -- I mean the site of the company and the loan levels that we have, and until the next Board meeting that is at the end of April, this is the maximum amount that we have and I will [technical difficulty] $650 million maximum exposure during this quarter. Okay.
Jeronimo de Guzman: Okay. Sounds good, thank you very much.
Hector Treviño: Thank you but sorry for the trouble during communication.
Operator: That will conclude the question and answer session. Mr. Treviño, I’ll turn the conference over to you for closing comments.
Hector Treviño: Okay thank you for your interest in Coca Cola FEMSA. And as always, me and the team are available to answer any of your remaining questions. And thank you gentlemen for the [Indiscernible]. Thank you.
Operator: That does conclude today's conference call. Thank you for your participation.